Operator: Welcome to the JinkoSolar Holding 2012 fourth quarter earnings conference call. At this time all participants are in a listen only mode. (Operator Instructions). I must advice you that this conference is being recorded today Wednesday 10th of April, 2013. I would now like to hand the conference over to JinkoSolar’s Investor Relations Director Mr. Sebastian Liu. Thank you please go ahead.
Sebastian Liu: Thank you operator. Thank you everyone for joining us today for JinkoSolar’s fourth quarter 2012 earnings conference call. The company’s results were released earlier today and available on the Company’s IR website at www.jinkosolar.com, as well as on the newswire services. We have also provided a supplemental presentation for today’s earnings call, which can also be found on the IR website. On the call today from JinkoSolar are Mr. Chen Kangping, Chief Executive Officer; Mr. Arturo Herrero, Chief Marketing Officer; and Mr. Zhang Longgen, Chief Financial Officer. Mr. Chen will discuss JinkoSolar’s business operations and the company’s highlights, followed by Mr. Herrero, who will talk about the company’s business strategies. And Mr. Zhang will go through the financials and guidance. They will all be available to answer your questions during the Q&A session that follows. Please note that today’s discussion will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements involve inherent risks and uncertainties. As such, our future results may be materially different from the views expressed today. Further information regarding this and other risks is included in Jinko’s public filings with the Securities and Exchange Commission, Jinko does not assume any obligation to update any forward-looking statements except as required under applicable law. Please be noted that to supplement its consolidated financial results presented in accordance with the United States Generally Accepted Accounting Principles, or GAAP, JinkoSolar uses certain non-GAAP financial measures. The company believes that the use of non-GAAP information is useful for analysts and investors to evaluate Jinko’s current and future performances, based on a more meaningful comparison of the net income and diluted net income per ADS, when compared with its peers and historical results from prior periods. These measures are not intended to represent to a substitute numbers as measures under GAAP. The submission of non-GAAP numbers is voluntary and should be viewed together with GAAP results. It is now my pleasure to introduce Chen Kangping, CEO of JinkoSolar. Mr. Chen will speak in Mandarin and I will translate his comments into English. Please go ahead Mr. Chen. [Foreign Translation]
Chen Kangping: Thank you, Sebastian. Good morning and good evening to everyone, and thank you for joining us today. Our business continue to face significant challenges during the fourth quarter due to continued module oversupply and the economy also [continues] [ph] lingering over the global economy. Despite these challenges and I’m encouraged by the progress we have made in reducing our cost and expanding our geographical reach. We were able to maintain positive gross margins we’re shipping a record high of 1188.3 megawatts during 2012 of which 912.4 megawatts was solar modules an increase of 25% year-over-year. Total shipment during the fourth quarter itself was 301.9 megawatt representing a year-over-year increase of 33% from 227 megawatts during the same period up in 2011 off which 252.3 megawatts were solar modules. Total revenue during the quarter were $187.3 million a 2.6% decrease from the same period last year. [This was done in] [ph] unsettled global solar industry especially given the recent developments. I believe that this results demonstrate that the effectiveness of our strategy and commitment to adapt to the different environments and conditions of our diversified market and locations. We’re extremely optimistic as we look ahead given our focus, and our competitiveness and our challenge financial and operational strengths. During the quarter our working capital and cash reserves continue to improve as we continue to achieve positive operating cash flow. Our balance sheet was since further fortified with addition of 800 million RMB we issued in corporate bonds in February 2013. I’m very proud of the fact that JinkoSolar is the only Chinese solar company to have successfully issued a corporate bond in 2013 so far. This reflects the strong confidence in the market places and our long-term potential and sustainable business developments. In addition to our improved cash position our advanced technology, high quality and reputation as a reliable partner has allowed us to create even stronger relationship with our customer around the globe and very importantly repeat business. Our brand image continue to improve along with the quality of our product and services. We recently launched the world’s first potential induced degradation free modules to be certified under the weather condition of 85 degrees centigrade and 85% of the relative humidity. The Eagle series as they are known represents a new standard for Jinko as fitting for high performance and the reliability in the market. This continuously improving brand image allow us to post strong sales during the quarter which brought inventory level down to industry low of $85 million, a sequential decrease of approximately $50 million. We now have more than 160 customers and are active in 20 countries which is truly a testament to the increasing global appeal of our brand. With Europe continuing to struggle our global presence expanded as we diversified risk and seek out new opportunities in the emerging solar market such as China, Japan, the United States, South Africa and India with more than a 100 megawatts worth of shipment to Japan already signed and 60 megawatt more for India. We’re excited about the opportunity they will present as we begin to seriously compete for business. Where we enter the Japanese market relatively late we have already built a considerable market presence since our Japanese office opened early last month. Despite the circumstances in the United States, we remain fully committed to our customers there and we anticipate that U.S. market will account for large portion of our growth in the coming years. South Africa has been proved to be a significant market for us too. The signing of the two large contract especially the 115 megawatts contract signed last week has demonstrated that the growth of our reputation in that critical market. Our ability to compete business overseas was boosted in December when we signed 1 billion strategic corporation agreements with China Development Bank which will provided us additional financial power and flexibility to finance our overseas projects. We’re intent on using this financial platform (inaudible) high quality project and an excellent return on investment across the globe. China continues to provide increasing opportunities for our project development and EPC business as well as the module sales having been one of the first solar companies to foresee China’s potential will help manage it to secure multiple contract, repeat business and project development initiatives. This has allowed us to quickly become one of the most well-known (PV module brand in China. Our project developments and EPC business pipeline is also showing increasing strengths with multiple projects in North-West China already coming into the national grade or under construction. Another demonstration –of our ability to secure a repeat business came with a 600 megawatts contract we signed with China Three Gorges New Energy Corporation. The investments we have made in our relationships with Chinese state owned enterprises have proven successful with the quality, reliably and the skill of both our utility projects and distribution system in China, where we’re positioned to capture future growth. In conclusion I’m extremely optimistic as we look ahead given our financial and operational strengths I believe that the global solar market after years of oversupply have finally begun to recover and we expect global demands increase substantially from 2013 onwards. I’m confident that our long term growth prospects with further strengths as our strong client relationships and repetition and the exciting business opportunities. We continue to manage our business prudently and leverage our industry leading technology and cost structure along with our improved financial position to save market opportunities especially repeat business and drive future growth. For the first quarter of 2013 we have prepared total solar module shipments to be approximately 270 megawatts to 300 megawatts. For year 2013 total solar module shipment is expected to be in the range of 1.2 gigawatts to 1.5 gigawatts and total project development scale is expected to be in the range of 200 megawatts to 300 megawatts. The company expects that it's in-house annual silicon wafer, solar cell and solar module production capacities will remain in approximately 1.2 gigawatt each at the end of 2013. Arturo Herrero, our Chief Marketing Officer we announced to discuss our major achievements in sales and marketing for the fourth quarter in further detail as well as our strategies and the market outlook for the first quarter in key countries and regions.
Arturo Herrero: Thank you Mr. Chen, good morning and good evening to all our viewer. Demand continuous to be negatively impacted by weak economic and financial conditions in several traditional in those market. ASP remain depressed as a result of fierce competition related by persisting of supply in line with market trends as we prevail throughout 2011, 2012, despite these challenges our shipments for the year were higher than the year before and also all-time records for JinkoSolar. So far in 2013 we have seen very strong and consistent demand and we expect high potential for this year and the next year 2014. Our shipments in 2012 reached almost 1.2 gigawatt that represents 25% increase over the year before. Total shipments during the fourth quarter itself were 321 megawatts a year-over-year increase of 33% from the previous 227 megawatt. Gross margin also in Q4 was positive, over 3% compared to negative gross margin the year before. Total gross margin for the year was positive reaching almost 5%, higher shipments in 2012 received primarily from a strong growth in China during the second half of the year while demands from Germany, France and the Spain will remain stable and Italy came in lower than expected due to cutting the traffics and uncertainties in the regulation system. The most important achievement in our sales has been the good progress made in geographical diversification, entering strongly in new emerging solar markets. Besides China we saw good progress compared to the year before in India, Canada and Japan even some constructions and shipments to India, South Africa and Japan were delayed to Q1 this year 2013. In the Europe and Australia we doubled our megawatt shipments from the year before despite the challenges and thanks to our consistency of strategy in this huge potential markets. In Q4 Europe accounted for only 33% of the shipments compared to 50% in the first quarter 2012. As expected Europe proved to be down during the second half of the year as a result of the reduction in the feed-in tariff and the cancellation of subsidies in some major markets. We continue both to extend our customer portfolio and increased customer quality. In Q4 we had over 160 customers in 20 different countries, as from 160 in the same number of countries in the previous quarter. Concentration risk continues to come down, in the last two quarters our top 15 customers accounted roughly for 60% of our sales down from 80% at the beginning of the year in Q1, 2012. The good news is that we’re happily experienced in this few months of 2013 a very positive change in the market trend. We have much better visibility contract lasting several quarters and we expect a rebound on the ESP. This is due to our improvements in brand recognition, capability and local presence in emerging solar markets. In Europe as many European governments continue to retreat from subsidies and bank financing remains tight. We have continued to partially transition from large scale projects to residential installations increasing our focus to new solar markets. Our strategic focus in China over the past quarters has continued to pay off as our domestic shipments reach record volume and I expected to remain strong during the year 2013. Regarding all the emerging markets we have seen very good resource of our efforts in markets like South Africa, India, Australia, Canada and Japan. In South Africa as previously announced we have been selected for several projects in the first and second round of the public tender for solar large scale projects. For our first project the largest to-date in the African continent with the size of 81 megawatt we have already started monthly shipments of nine megawatts for the next coming nine months. We also announced another deconstruct for 115 megawatt for two different projects in the same country South Africa. If it corresponds to a second round of the public tender. The shipments will start in the second half of 2013 and will last for 10 months for 20 megawatts monthly approximately. In India we already shipped over 50 megawatts in the first quarter 2013 and we’re entering into new contracts for the second half. The Japanese market is also very promising due to an important support from the government for solar energy projects. We have signed already a 100 megawatt projects for the year 2013 and we already start the shipments. Latin America remains appealing it's only a bit slower than expected. We continue to see reasonable growth that we expect to start materializing in the second half of the year in countries like Chile, Brazil and Mexico. In-line with our prudent and focus expansions and diversification strategy we continue to straighten our global sales and marketing teams work closely controlling our cost and our budgets. We’re especially reinforcing our presence in Asia-Pacific, South Africa and South American market. Our market share continues to grow, in 2012, we reached 3.5% in the major 15 (inaudible) countries and we remain top six worldwide crystal module producer according the IMS Research Institute. Regarding marketing we have been very consistent in our strategy and we have achieved our global of broadening our brand recognition around the world particularly in the various important markets not only in Europe but Asia-Pacific, Africa and the U.S. At this time we have been spending less than our peers. Regarding the sponsorships Valencia has been taking a big part of our budget and has been competing successfully in the European Champions Cup against all the European football clubs and it will be playing against Barcelona Football Club in Shanghai this coming summer. Regarding 49 or something in Cisco, they also played the superball in the U.S. During the fourth quarter we participated in five TV exhibitions in Asia-Pacific, five in Europe and two in the U.S. This exhibitions include TV Japan, All Energy in Australia, IGEM in Malaysia, Solar Power in UK, Romania and (inaudible) France and Toronto in Canada. We also attended TV Conference in San Diego and Greentech Media in the U.S., Solar Summit (inaudible) South Africa and SolarPlaza where we were having the opportunity to do speaking opportunities in Milano, Italy and New Chile. Consistent with our focus on corporate social responsibilities we made several donations of PV Modules to multiple prestigious events and institutions such as Rock No War event that was happening in San Francisco during the last year. We will also attend PV major exhibitions in the next coming months as we used to go with our marketing budget. More than 80 customers have already registered in our Jinko VIP program called Priority Solar Club that is focusing on a strategically customers. We’re seeing great interest for our Eagle series, PID Free series that is becoming tested with 85 degree Celsius and 85% humidity. It is a PV module designed specifically for high temperatures and high humidity environment typical for countries in India, Africa and South America. In our communication and PR we’re consistent being trustful as our slogan is saying building your trust in solar. Thank you very much.
Zhang Longgen: First I would like to walk you through our financial results for the fourth quarter of 2012 followed by full year results and the first quarter and the full year 2013 guidance. I would like to start by pointing to the revised third quarter 2012 figures that will be used on the call today. Sales contract in China differ from those used in other international markets as they incorporate in tonnage terms. Jinko customers in China are allowed to withhold payment of 5% to 10% of the full contract price as a retainage for the entire duration of the contract which typically ranges from one year to two years. Given that the company had recognized most of its revenue from China during the third quarter and the fourth quarters of 2012. Jinko has limited experience with respect to the collectivity of the retainage of the contracts taking a conservative approach and after consultation with our auditors we decided to defer the revenue recognition of the retainage until we’re already paid by the customer. As a result Jinko has restated its third quarter 2012 figures. Moving on total solar product shipments in the fourth quarter of 2012 were 3.1 megawatts, total revenues in the fourth quarter of 2012 were 1.17 billion RMB a decrease of 12.2% sequentially from 1.33 billion RMB and an decrease of 2.6% year-over-year from 1.2 billion RMB. The sequential decrease was primarily due to the industrial wide decline in ASP's of solar products and a decrease in solar modules sold. Gross margin was positive 3.8% in the fourth quarter of 2012 compared with positive 5.8% in the third quarter of 2012 and an active 4.4% during the same period of last year. In-house gross margin relating to in-house silicon wafer solar cell and the solar module production was 5.6% in the fourth quarter of 2012 compared with 8.3% in the third quarter of 2012 and 5.8% in the fourth quarter of 2011. Loss from operations in the fourth quarter of 2012 was 733 million RMB compared with loss from operations of 111.3 million RMB in the third quarter of 2012 and a loss from operations of 316.1 million RMB during the same period of last year. The company’s total operating expenses in the fourth quarter of 2012 were 777.3 million RMB representing an increase of 311.7% sequentially from 188.9 million RMB and an increase of 194.8% year-over-year from 263.8 million RMB. During the fourth quarter of 2012 the company recognized provision for bad debts of 364.1 million RMB and a recorded as general and administrative expenses. In addition, the company recognized an impairment of (inaudible) assets for obsolete production lines of 65.5 million RMB due to continuing in technology innovation in the solar industry. Total operating expenses excluding non-cash charges consisting of provision for bad debts and the impairment of long live assets right off the equipment prepayment and a provision for inventory purchase prepayment on long term contracts was 210.7 million RMB during the fourth quarter of 2012. These compares with 177.2 million RMB in the third quarter of 2012 and 218.2 million RMB in the fourth quarter of 2011. Operating margin in the fourth quarter of 2012 was negative 62.9% compared with negative 8.4% in the third quarter of 2012 and a negative 26.4% during the same period of last year. Net interest expense in the fourth quarter of 2012 was 56.3 million RMB an increase of 8.8% sequentially from 51.8 million RMB and an increase of 6.1% year-over-year from 53.1 million RMB. We have recorded currency exchange gain of 59.7 RMB in the fourth quarter of 2012 primarily due to the foreign currency exchange gain of 9.7 million RMB and again in fair value of forward contracts of 50 million RMB. We recognized a loss of 68.7 million RMB in change of fair value of convertible senior notes and the (inaudible) option during the fourth quarter of 2012. The company had recognized an income tax expense in the fourth quarter of 2012 of approximately 83,000 RMB compared with a tax expenses of 1.3 million RMB from third quarter of 2012 and a tax gain of 80 million RMB in the fourth quarter of last year. Net loss in the fourth quarter of 2012 was 761.1 million compared with a net loss of 114.5 million in the third quarter of 2012 and a net loss of 366.6 million in the fourth quarter of 2011; this translates into a basic and diluted loss for ADS of 43.32 gram and $5.51. Non-GAAP net loss in the fourth quarter of 2012 was 699.9 million compared with non-GAAP a net loss of 87.6 million in the third quarter of 2012 and a non-GAAP net loss of 370.8 million in the fourth quarter of 2011. This translates into a non-GAAP basic and diluted loss for ADS of 31.52 million or $5.06. Now I will briefly review our full year 2012 financial results. Total revenues for the full year 2012 were 4.79 billion RMB, a decrease of 35.1% from 7.38 million in 2011, loss from operations for the full year 2012 was 1.23 billion compared with an income from operations of 315.9 million in the full year of 2011. Operating margin for the full year 2012 was negative 25.7% compared with positive 4.3% in the full year 2011. Total operating expense in 2012 were 1.47 billion an increase of 75.8% from 834 million in 2011 operating expenses (inaudible) 30.6% of total revenues for the full year 2012 compared to 11.3% for the full year 2011. The company had recognized a tax benefit of 8.9 million for the full year of 2012 compared to a tax expense of 81.1 million in 2011. Net loss in the full year 2012 was 1.54 billion compared with a net income of 273.3 million in 2011. This translate into a basic diluted loss for ADS of 69.52 or $11.16 in 2012. Non-GAAP net loss in 2012 was 1.42 billion compared with a non-GAAP net income of 4.4 million in 2011. This translated into non-GAAP basic and diluted loss paid as of 63.76 million or $10.23 in 2012. We will now like to take a quick look at our balance sheet. As of December 31, 2012 the company had $67.4 million in cash and cash equivalent and restricted cash as of December 31, 2012 total shipped volumes including the current position of long term banking and borrowings were 2.24 billion compared with 2.2 billion as of December 31, 2011. Total long term borrowings were 167 million as of December 31 compared with 155.5 million as of December 31, 2011. Now let me attend to our guidance, for the first quarter of 2013 we expect total solar module shipments to be approximately 270 megawatts to 300 megawatts for the full year 2013, total solar module shipments I expected to be between 1.2 gigawatts and 1.5 gigawatts and total project development scale is expected to be between 200 megawatts and 300 megawatts. We expect to maintain our in-house and our silicon wafer and the solar module production capacity as approximately (inaudible) 1.2 gigawatts each by the end of 2013. At this moment we’re happy to answer to take any questions. Operator?
Operator: (Operator Instructions). Your first question comes from the line of Satya Kumar from Credit Suisse. Please ask your question.
Brandon Heiken - Credit Suisse: This is Brandon Heiken speaking on behalf of Satya Kumar, thanks guys for taking the question. I was wondering if you can talk about your expectations for future cost reductions and I know you guys have done a great job in reducing cost thus far so congratulations on the $0.54 for the fourth quarter. Could you talk about what you expect for 2013 for non-silicon cost?
Zhang Longgen: As you can see that our fourth quarter of 2012 we reduced our non-silicon cost down to $0.45 so the silicon cost only $0.09 so (inaudible) total cost is $0.55. We continue I think it's (inaudible) economy side and also to [input I think to acknowledge] [ph]. So we think [on an existing] [ph] cost, we continue (inaudible) cutting down and by the end of this year from $0.45 maybe down to you know $0.40 so we still have like $0.04 to $0.05 continued to go down. So basically if the silicon cost can stable around $20 to $25 so we think by the end of this year the total cost will be around 52 to 53.
Brandon Heiken - Credit Suisse: And I was wondering it looks like with your full year guidance and with the projects that you expect production to be well above the nameplate capacity. If you’re at the high end of that guidance do you expect to outsource some production and is can you talk about outsourcing or any other strategies in the case of European tariffs?
Zhang Longgen: To answer your first question I think you know yes for the guidance you can see that you know our shipments and plus our projects, in our own [we used] [ph] module I think more than our capacity. Definitely we were outsourcing our some capacity meanwhile we also looking for some surplus in our, actually I think capacity outside it is cheaper right now maybe only pay you $0.01, $0.10 you can get a $1 so we’re all working on that.
Brandon Heiken - Credit Suisse: And then in the case of European tariff what strategies do you think if that’s were to happen what strategies would you?
Arturo Herrero: This is Arturo Herrero, CMO. I’ll answer very prudently here, I think this is still under investigation so we don’t want to speculate what is going to happen. We’re preparing for the worse scenario and we have different options in our plan. However I still I’m quite optimistic in this regard, I expect personally with my connections in the industry that probably will be no feed-in tariff - sorry - no tax for anti-dumping or it will be quite tiny but in case there is something happening we will be more than happy to put in place one of the options that will have already been analyzing and at that time we will be announcing in case we have to.
Operator: Thank you very much. Your next question comes from the line of Philip Shen from Roth Capital Partners. Please ask your question.
Unidentified Analyst: Just touching on those retainage contracts you guys mentioned how long can we expect these types of contracts to continue and also could you give us a sense for what percentage of your customers were able to take advantage of these contracts?
Zhang Longgen: I think the [containage] [ph] contracts in China and most I think is not only the solar industry but also the wind industry, so most of contracts you deal with SOE, state owned company they always have retainage 5% to 10% and the pay by the end of the contracts so usually the one year, two years. So for us because we didn’t have any history experience, we’re just starting you can see that the third quarter of last year so basics (inaudible) is you take advice from our - I think we consult our auditors I think we’re very concerned I think those revenue and until we collected the cash.
Unidentified Analyst: It looks like you’re using sort of outsourcing to make up for the deficit if you’re on the higher end of the guidance there. What conditions would you look for though before deciding to expand capacity in-house for example would it be an amount of megawatts in the pipeline, is it visibility into demand over the next two years, could you give us a sense for how you think about that please?
Zhang Longgen : Let me answer you first and then maybe you know Arturo can comment more, basically we’re always looking for the opportunities right now the consolidation in China and every day basically we can see the restructuring is there so the actual capacity is there and the only thing is the negotiation; how can we keep to invest little money than high the capacity, so we’re always looking around. We’re just waiting for the opportunities. At this moment you know, you have to consider the EU in our anti-dumping issues those come out, so if you look our outline for 2013 the second half of the year actually the sales in Europe, the percentage is not higher competitively with the other market in China, Japan, and Africa. So that’s why we have always watched the market and at the beginning well maybe it is easy for us to increase the capacity on module side but definitely if we’re going to expansion any sale and the labor capacity definitely we will not be the new facilities, we maybe buy some existing China facilities.
Operator: Thank you very much. And your next question comes from the line of Hitesh Barani [ph] from (inaudible). Please ask your question.
Unidentified Analyst: Can you throw some light on the impact of the Suntech bankruptcy on the business if any?
Zhang Longgen: I think it's a good question because today in China the solar industry I think is not only in the consolidation but also is a faced challenge and the over capacity as faced challenged by the market demand and also inside China you can see one of the competitive and Suntech I think you can see that is going on a restructuring, so all these I think definitely will effect to the whole industry. I think the government right now in the March, the new government just set up I think they are aware of the situation right now. I think the government will take I think two steps, I think one step is to increase the domestic demand to streamline the policy, I think also to possible to increase the potential demand especially like two steps I think subsidized in the eastern area of China as all these policy I think it will increase the demand. Second also I think the government has put more attention to is to restructuring consolidation in these industry the own capacity issue. So as you can see that of course today every solar company has faced banking in think the lower facility typing but we do think you know Jinko is one of them the banking I think if you like to priority to support as you can see we just got 60 megawatts of solar projects (inaudible) 360 million from China Development Bank. It's a first loan from China Development Bank, so definitely I think if we continue working on that I think in these scenario and be survive and be the best one.
Arturo Herrero: Let me add that in the short time obviously all the industry is impacted by these bad news for the industry. Whoever we were expecting these consolidation and in the long term it's a good news for the survival we strongly believe that Jinko solar is one of the company’s who will survive and in fact we have seeing our customers coming to Jinko with our strong bankability. We have over 56 banks already that has been providing finance into our modules for our customers in their project financing. So more and more customers are also selective which supplies they are coming to us for technology. So this is a fabulous for us in the near long term.
Operator: Thank you very much and your next question comes from the line of (inaudible).
Unidentified Analyst: My question is about ASPs are you able to disclose what your module wafer and cell ASPs were in the fourth quarter?
Zhang Longgen: I think you I also pointed out you see in the fourth quarter we sell high percentage product in China so we also differ those in retinage I think revenue on here we collected, so ASP is a $0.57 on the module and a $0.16 on the (inaudible) and $0.27 on the sale.
Unidentified Analyst: And that will be the net of the 5% to 10% and the retinage applies to all three categories?
Zhang Longgen : You mean the module?
Unidentified Analyst: Does the retinage the 5% to 10% retinage apply to all three categories?
Zhang Longgen : Basically just the module.
Unidentified Analyst: Just the module okay and then following up how are ASPs trending for this for Q1, ’13.
Arturo Herrero: Let me add an explanation about the ASPs but because in order to compare our modules we were discussing internally also with our Chairman, the low ASP is easy bending not only on the pricing the markets but the conditions of the logistics. So if it is not, it is not the same to do CIF conditions that DDP were normally there is around $0.02 to $0.03 higher in the price when you’re using all the logistics were they good in the site of the customer. The other thing is that we’re mainly producing poly crystalline modules so we’re not mainly selling mono crystalline that is much more cost in terms of production but also is sold at the higher price in the market. So it is influencing also the ASP and finally it is also important to realize that we have been a slightly late in some countries like Japan where we have reactive now where ASP is higher because also the conditions of the country in (inaudible) is much better and we’re selling out in China were also the ASP is impact in the dump. So overall I think we’re comfortable with current comprehensive with our peers but at the same time we expect our ASP to recover in order to more profit. We have are in range also we expect around $0.57 to $0.59 per watt.
Unidentified Analyst: And how might that look exiting the year against that $0.52 to $0.53 cost estimate?
Arturo Herrero: For the year probably we will see a stability on the ASPs and also for Jinko we expect slightly recovering until Q3 because we have a very good visibility this year in terms of orders and constructs and probably in Q4 it will be a slightly reduction, I would say every year it's happening with the winter season.
Operator: Thank you very much. (Operator Instructions). Since there is no more question at this time I would now like to hand the conference back to Sebastian Liu for closing remarks.
Sebastian Liu: Thank you everyone for joining us today and if you need more information including the document presentation of today’s conference call you can always find the link on the company’s IR website that’s www. jinkosolar.com. Thank you again. Bye.
Operator: Ladies and gentlemen that does conclude the conference for today. Thank you for participating. You may all disconnect.